Ivan Vindheim: [Video Presentation] So there is an opening vignette. It's, of course, a particular pleasure for me this time around to wish you all both in the room and online. Welcome to the presentation of Mowi's Fourth Quarter Results of 2023. As you just saw, 60 years after our humble beginnings in a closed-off bay outside Bergen, where we have our head office. My name is Ivan Vindheim, and I'm the CEO of Mowi and together with our CFO, Kristian Ellingsen. I will walk you through our operations, financial figures and fundamentals for the quarter. And after the presentation, our IRO, Kim Dosvig will routinely host a Q&A session. For those of you who are following the presentation online, can submit your questions or comments in advance, or as we go along by e-mail. Please refer to our website at mowi.com for necessary details. Disclaimer, I think we leave for a self-study. So then we are ready for the highlights of the quarter. The release of the fourth quarter results also means it's time to take stock of the year we have just left behind us. And by extension, I don't think I can think of a better way to start off Mowi's 60 year's jubilee than rounding off another record-breaking year because turnover of €5.5 billion or NOK63 billion is all-time high and so is our operation profit of €1,028 million or NOK11.7 billion. And our harvest volumes of 475,000 tons are also record high, although I think it's fair to say that we lost some speed on the home stretch in Scotland due to biological issues there. And we maintained our farming volume guidance for this year of record high 500,000 tons, which is a milestone for us as it will be the first time in Mowi's 60 year's history, we crossed the magic 500,000 tons mark and – which means we have grown our farming volumes as we [Audio Dip] years, which is equivalent to a CAGR of 4.9%, but that's surpassing that of the wider industry by a large margin. Speaking of growth, as you may remember, at the Capital Markets Day in March 2021, we launched a venture into postsmolt in Mowi from which we are only now at last beginning to reap the fruits because by close of play this year, almost 40 million smolts or a quarter of smolt produced in Mowi will be postsmolt, which I think makes us the largest postsmolt producer in the world from a range of negligible 1 to 30. So this marks a new era for us, and then hopefully it provides the basis for continued organic growth in Mowi Farming in the coming years in addition to improved biological and financial metrics. Otherwise, it's not only Mowi Farming that is growing, our two other divisions, Consumer Products, which is our downstream business and Feed, they both delivered volumes at record high levels last year, which resulted in record high turnover and profit for daypart. As we said repeatedly, at Mowi we are working along three main pillars, which are volume growth, cost and sustainability. So we are now true to tradition, some of the years we have just left behind us, I think in all fairness can say we have delivered on all three of them. Because in addition to volume growth, we have also been competitive on margins and that despite our major currency handicap last year by virtue of being a euro company in the wake of the unprecedented weakening of the NOK, which cost us as much as €133 million last year of NOK1.5 billion. And finally, we continue to win sustainability awards, of which being ranked as the world's most sustainable animal protein producer by the prestigious Coller FAIRR initiative for the fifth consecutive year is perhaps the one that stands out and we value most internally. So once again, I would like to take the opportunity to thank my 11,500 colleagues in the 26 countries that we operate for invaluable efforts in making this happen. It's, of course, much appreciated. When it comes to our quarterly figures, operator profit was €203 million in the fourth quarter and was with that in line with the trading update of the 18th of January in a quarter, which I would say was characterized by seasonally strong prices for the salmon of European origin, whilst we regrettably saw weak prices for the salmon of American origin, which also follows the trend we have seen since the second quarter last year. On a positive note, however, the latter prices have rebounded in the new year and are now approximately at the same level as in the beginning of last year, at least the prices for the salmon of Chilean origin, which was a reasonably good level. In terms of farming costs, realized blended farming costs, i.e., weighted farming costs for seven farming countries was €5.58 per kilo in the fourth quarter and was in line with previous quarter's last year and actually down compared with the third quarter. And feed price was once again stable in the quarter, which is hopefully an indication that we have the worst of inflation behind us. Having said that, we are still expecting to see the usual increase in realized blended farming costs for the first quarter due to seasonally lower volumes and thereby less dilution of fixed costs. On another note, and as already addressed, once again, heads up on FX or ForEx exchange in the wake of the weakening of the NOK we saw last year. We remind that Mowi, as a euro company has hedged away the FX gain our Norwegian peers have benefited from so greatly so far. And in the fourth quarter, this cost us €31 million or €0.38 per kilo for Norwegian farming volumes. And for the year as a whole, as already said, as much as €133 million or NOK1.5 billion or €0.45 per kilo from Norwegian farming volumes. So this is significant, so please take that into account when you do your own benchmark comparisons for the fourth quarter and for the year as a whole for Norway. In terms of harvest volumes, we harvested 129,000 tonnes in the fourth quarter, which is lower than guidance due to, first and foremost, as already addressed, a biologically challenging quarter in Scotland. When it comes to two other divisions, both Consumer Products and Feed, delivered a strong quarter, I would say, on the back of good operational performance and in a good market, which I think concludes the operation part of highlights and which brings us to EU's antitrust investigation, which has been ongoing since the inspection of the Norwegian salmon industry, including Mowi as long ago as in February 2019. As already announced, they have now regrettably issued a so-called statement of objections in that respect, which I must say you find it very disappointing. As to the best of our knowledge, there is no basis for this statement of objections. Having said that, we're still incorporating fully with the commission and our next step is now to respond to this, in our view, unfair and baseless allegations. So, let's hope that we will make them see reason about this. And finally, the Board of Directors has decided to distribute our quarterly dividend of NOK1.90 per share after the fourth quarter. I think that does it for the highlights of the quarter. So then over to key financials. Kristian will, as usual, go in depth on financial figures in his session. So as not to disrupt the course of events, we will just touch briefly upon the most important ones now. And first, turnover, which we already have been through, Mowi recorded a record-high operational revenue last year of €5.5 billion or NOK63 billion which is up by 11% in euro terms and 27% in NOK terms, driven by volumes at record high levels across our value chain in addition to strong prices for salmon, at least the salmon of European origin. For the quarter, operational revenue was €1.43 billion, which is also a record high and up by 5% year-over-year. Operating EBIT, we have also already commented on. Full year EBIT was €1,028 million or NOK11.7 billion, a record high, whilst the quarterly EBIT was €203 million. Furthermore, net interest-bearing debt was €1.79 billion at the end of the quarter and year, which is somewhat above our long-term debt target of €1.7 billion due to seasonally tie up of working capital in addition to large capital expenditures in the quarter. We are now, however, entering the time of year when we release working capital and what is more, our CapEx budget for this year is down. So we expect this to be of temporary nature. Otherwise, equity ratio was a healthy 46% at the end of the quarter and year, and underlying earnings per share was €0.26 for the quarter and €1.3 for the year or NOK14.81, which is actually a record high in NOK terms. And that's despite the introduction of the new Norwegian resources land tax last year, which is an interesting observation in itself. Not many would have thought that when we stood on the doorstep of last year, including the speaker. And finally, in terms of regional margins through the value chain, Mowi Norway and Mowi Faroes were once again best in the Mowi class, whilst our operations in Americas and Scotland struggled more due to factors already addressed. Then briefly about the prices in the quarter, overall, I think, it's fair to say that the market for the salmon of European origin enjoyed another strong period in the fourth quarter adjusted for high seasonal supply, which has continued into the new year or now low seasonal supply. Prices for the salmon of American origin on the other hand were, as I said, weak in the fourth quarter, which follows the two-way division of the market we have seen since the second quarter last year. But as I said, they have rebounded in the new year and are now approximately at the same level as in the beginning of last year, at least the prices for the salmon of Chilean origin, which was a reasonably good level, I would say. Then our own price achievement in the quarter, which I would characterize as strong as it was 10% above the reference price, which is the standard we like to hold ourselves to internally. We didn't have any negative outliers either this time around, maybe with the exception of Iceland, but we had some logistical challenges in the quarter. Contract share was 26% for the group in the quarter and was without in line with guidance. And as in the third quarter they contributed positively to our price achievement. But for the year as a whole, they have been quite neutral versus our price achievement. The EBIT waterfall I think we have already been through so as not to be too repetitive. I think we leave it at that and address the various business entities instead. First one out is as usual, Mowi Norway, our largest and most important entity by far. Operating profit was €196 million for Mowi Norway in the fourth quarter, which is slightly down from €198 million in the comparable quarter in the year before. Due to lower or seasonally lower volumes, in addition to €13 million hit related to stamping out 2.1 small fish at two of our farms in region north in Production Area 8 due to detection of pancreas disease. Production Area 8 is, as you know, a combat zone against pancreas disease in Norway, so that's why this draconian stamping out in measure. Margin on the other hand improved year-over-year from €2.28 per kilo to €2.40 per kilo due to better price achievement as a result of higher contract prices. And as addressed under highlights as the euro company Mowi Norway did not benefit from the weakening of the knock we saw last year which cost Mowi Norway €31 million alone in the fourth quarter or €0.38 per kilo, and for the year as a whole as much as €131 million or €0.45 per kilo. So just for that EBIT margin in a quarter would have been €2.80 per kilo and if not €2.41 per kilo and corresponding EBIT would have been €227 million and not €196 million. And finally full year margin would have been €3.27 per kilo, not €2.82 per kilo and full year EBIT would have been €965 million and not €832 million. So this is most definitely significant and in retrospect, I think we can safely say that being a euro company in this industry last year was not the right thing to be and not in the 10 last years either for that matter. But things are as they are when you hedge to avoid the downside, you have to be prepared to give away the upside. That's the name of the game. The Lord giveth and the Lord taketh away. But over time, this is supposed to balance out. So let's hope justice will find its way. Time will tell. Otherwise, we saw good growth in sea for Mowi Norway last year, which translated into record high farming volumes of 295,000 tons. And we maintain our farming volume guidance for this year of 305,000 tons, which is a continuation of the impressive growth trajectory we have seen from Mowi Norway over the past few years and also cementing our strong license utilization of production efficiency in Norway. As we can see from the charter, we harvested 210,000 tons in Mowi Norway as recently as in 2017, which means we are up by almost 100,000 tons and which is in practice organic growth as our MAB drawdowns through the traffic light system are close to bought capacity in the period. So a big thank you to our Norwegian farming organization for this achievement. But we have more up our sleeve because by closer play this year, almost 40 million – sorry, almost 30 million of the smolt produced in Mowi Norway, will be postsmolt. In the fourth quarter, we opened our new postsmolt facility at Fjaera in region south with great pump ceremony, an ultra modern 3,300 tons Ross facility and we have also started commissioning of Nordheim which is a 4,100 tons postsmolt Ross facility in region mid. And at the end of the year, we will start commissioning of the Haukå, which is 3,300 tons postsmolt Ross facility in region west which will in total, as already said, give us a postsmolt capacity in Norway of almost 30 million postsmolt and include current postsmolt production in semi-closed plants. So i.e. 50% of the stock – sorry, 50% of the smolt stocked in Norway when we exclude region north from the equation for natural reasons. On top of that, we have also started commissioning of our new 100,000 tons state-of-the-art processing plant at Jøsnøya in region mid with not too many hiccups so far. So I guess, you could say we haven't been loafing about lately. In total, we are talking about structural investments in Norway of as much as NOK2.5 billion and for – all of which were sanctioned before the announcement of the infamous Norwegian resource rent tax, the 28 of September 2022. And it's no secret that we also have six other strong postsmolt projects in Norway in the pipeline, pending framework conditions enabling them to be realized. Then the breakdown of the margins for the different regions in Mowi Norway in the quarter, as you can see from the charter, margin dispersion was lower than usual in a quarter, which was rather challenging. So I think our operation performance was reasonably good because we had our share of the biological issues in the quarter, with pancreas disease in region North and Apolemia in region mid and region South to mention a few. And towards the end of the year, we also started to see cases of winter source, so they’re familiar issues in other words. Then the last slide on Mowi Norway, our sales contract portfolio, contract share was 26% for Mowi Norway in the quarter and was that in line with guidance more or less. And as in the third quarter, they contributed positively to our price achievement. But per year as a whole, we have isolated lost on our Norwegian sales contracts. As for 2024, we have maintained the contract strategy we have had in recent years and which has served us well so far, I would say. And contract prices are relatively stable year-over-year. Then it’s time to address the other farming countries. The first one out is Scotland as addressed in the third quarter release, the fourth quarter started off with a very challenging biological October for Mowi Scotland, due to seasonally poor water quality, compounded by the El Niño weather phenomenon and record high seawater temperatures in its wake, causing severe gill issues and elevator mortalities at some of our farms, which unfortunately lingered on in November and partly December. On top of that, we harvested a minimum in Scotland in the quarter to secure our farming volume guidance for this year, and by that enabled us to leverage on an expected improved market in the first half of the year as we saw last year. Operation profit therefore came in on the weak side for Mowi Scotland in the quarter at negative €1 million. And so did our farming volumes of 10,500 tonnes, which are down by 7,500 tonnes from the original forecast. When I post a note however, biology improved towards the end of the quarter and year for Mowi Scotland on lower seawater temperatures and better water quality, which has continued into the new year and our mortality levels and production rates are now back to normal in Scotland, which should pave the way for improved biological and financial metrics in the coming months. Having said that, I think it’s fair to say that we have experienced increasingly challenging environmental conditions in Scotland over the past few years on rising seawater temperatures. And last year, of course, also compounded by El Niño. This development clearly calls for a more robust salmon and a shorter production cycle in sea, so that we among other things, can avoid two second halves. Last year, we therefore took the step of buying Dawnfresh bankruptcy estates trout sites in Loch Etive as the first step in a post-smolt venture in Scotland, as Loch Etive is particularly well suited for post-smolt salmon farming due to its breakage water. And in late December, we received the final approval to convert these trout sites to post-smolt salmon farming and further, that our first batch of 2.6 million fish goes to sea as we speak, and the next batch is to be pounded in October, and which will in total give us a post-smolt capacity in Scotland of 6.6 million post-smolt, or a coverage of approximately 30%. At what I would say was a very decent price, less than half the CapEx of doing it on land, not to mention with a much quicker realization time and with a lower running production cost. Another important part of our biological turnaround plan for Mowi Scotland is to become 100% self sufficient for eggs. Today, we use eggs from our own production in Ireland, in addition to externally sourced eggs, and in the case of the latter, unfortunately of varying quality, which I got to tell you is the last thing you need in a biological challenging environment. So, after having received the final permit, we have now started the groundwork for our brand new bespoke broodstock and egg facility at Ardessie on the shores of little lock broom in the Northwest Highlands. And that complete in 2025, it will provide secure supply for 100% of egg requirements in Scotland. Then overseas to Chile, Mowi Chile delivered a set of strong biological metrics in the fourth quarter, I would say with very low mortality and recently good growth to mention a few. And so far, we have come out well from the few seasonal incidents of harmful algal blooms you have seen so far, knock on wood. But weak prices ruined an otherwise strong quarter for Mowi Chile with record high farming volumes of 27,000 tonnes. So operation profit therefore dropped year-over-year from €20 million in the fourth quarter of 2022 to €11 million in this quarter. And so did our margin, which is down year-over-year from €1.8 per kilo to the €0.40 per kilo. Then father North to Canada. Mowi Canada harvested very low volumes in the fourth quarter, so our financial figures are consequently strongly colored by that. Other than that, I would say that biology was reasonably good for Mowi Canada in the quarter, both in the West and in the East, with low mortality and reasonably good growth for them as well. Which brings us to our two smallest farming entities, Mowi Ireland and Mowi Faroes. Mowi Ireland had practically no harvest in the fourth quarter, so there is consequently not much to say about the financial figures. But biology was once again reasonably good for Mowi Ireland in what has been a recovery year for Irish operation after a very challenging 2022 biologically. In Mowi Faroes operational EBIT improved year-over-year from €5.5 million in the fourth quarter 2022 to €7.5 million in the fourth quarter last year, by means of a strong margin of €2.14 per kilo on 3,500 tonnes harvest volume. Operation metrics were also strong for Mowi Faroes in the quarter. Then the latest addition to the Mowi family Arctic Fish, our 51% owned a subsidiary which we took over in the beginning of last year. Overall, I think it's fair to say that the financial figures for Arctic Fish in the quarter and also for the year for that matter, bear the mark of a challenging autumn with lice problems which resulted in an operational profit of €3 million in the fourth quarter and a corresponding margin of €1.28 per kilo. We are now, however, entered common waters in Iceland with good biology, low mortality and reasonably good growth given the prevailing seawater temperatures and our clear goal for 2024 is now to establish, after many years with large capital expenditures and organizational changes, a streamlined and profitable operation in Iceland. Which concludes Mowi Farming, so then we are ready for our downstream business, consumer products. Operation profit was impressive €152 million for consumer products last year, which is our best year-to-date and up from €112 million in the year before, driven by strong operation performance more or less across the board in addition to volumes at record high levels in a good end market. Per quarter, operation EBIT was €38 million. So a big thank you to our downstream organization who pulled it off again. I dare say no one does it better in this part of the value chain, in this industry. Then last one out, Mowi Feed. Mowi Feed also set a new profit record last year with an operational EBITDA of €52 million on 523,000 tonnes of feed. For the quarter, operational EBITDA was €16 million in a quarter, I would say, proceeded as planned and feed performance was once again good in the quarter, which is of course all encompassing for us as the world's largest salmon farmer. In danger of being repetitive, the proof of the pudding is literally in the eating in this industry all the way to the plate. So then, Kristian, the floor is all yours, so you can walk through the financial figures and fundamentals in depth. Thank you so far.
Kristian Ellingsen: Thank you very much, Ivan. Good morning. Hope, everybody's doing well. As usual, we start with the statement of profit and loss, where the top line shows record high quarterly revenue of €1.43 billion and record high €5.51 billion for the full year of 2023. This is driven by all time high volumes and higher achieved prices compared with last year. Q4 operational EBIT was €203 million and €1,028 million for the year. And with regards to the items between operational EBIT and financial EBIT, we see as usual that the main item is the net fair value adjustment of biomass, which amounted to €63 million this time around on higher prices. The operational result for our associated company Nova Sea in the quarter was equivalent to €2.39 per kilo, including a positive effect from the weakening of the NOK, but nevertheless lower than Mowi region, north in the quarter which was at €2.70 per kilo. Net financial costs somewhat up from Q4 2022. Higher interest costs were partly offset by unrealized currency gains. And underlying earnings per share 2.99 a knock in Q4 and a record high NOK14.81 for the year with regards to the resource rent tax estimate applied in the calculation. This is consistent with the methodology from Q3, i.e., 10% effective tax rate across the Norwegian value chain. Cash flow per share for Q4 and for the year as a whole was impacted by working capital tie up. Q4 return on capital employed was 14% in Q4 and 19.3% for the full year, i.e., well above the 12% requirement. And these figures include resource rent tax in Norway treated as an extra cost to do salmon farming in Norway. As explained in the Q3 presentation, the resource rent tax is applicable to the seawater phase only and as Norway has the most diverse value chain in the industry where most of the activities are not in scope for the extra tax, the overall effective resource rent tax rate is lower than the nominal rate. We have indicated a 10% run rate level subject to uncertainty and this is not necessarily the exact figure for every quarter or for every year, but an indication of a run rate. For the year of 2023, the resource rent tax cost is €54 million ex-one-off implementation effects in the P&L. Let us also take a look at FX effects for Mowi Norway from the weakening of the NOK before we leave the profit and loss. What is important to understand is that Mowi is a euro company with a cash flow predominantly in euro, financed in euro, we manage the company in euro. This means that we remove currency fluctuations. The NOK has seen a significant weakening since 2012, 54% for euro, as much as 86% for dollars, quite considerable numbers, but also leaving a question mark on whether or not it’s natural to assume a continued weakening. And this NOK weakening, this leads to FX gains for the Norwegian pairs, which manage and report the Norwegian kroner. So this represents a lost opportunity cost for Mowi. We don’t have this positive effect from the FX weakening. What’s important is that this effect should not be attributed to the operations. This is a financial effect and you could argue that this is also something that over time should even out. The gain for our peers is due to the difference between revenue immediately being recognized and realized at high rates and costs at lower rates due to a time lag on this currency impact on costs. Cash wise it takes approximately six months before weaker NOK drives up cash cost, i.e., feed cost order items and it takes even longer time for the P&L cost to catch up to new rates given a long production cycle in this industry. So in the meantime there is a gain and this is gradually reduced as time passes and it’s neutral in steady state. And the inverse is true, as I said, when the NOK is strengthening. And again Mowi has hedged away these FX through our setup. In Q4, the margin difference represents a loss of €0.38 per kilo for Norwegian volumes and that means €31 million in nominal number and the year to date effect is as much as €0.45 per kilo or a quite considerable number €133 million in nominal terms. So please make a note of this when looking into the numbers between the companies when really understanding the numbers in this industry. Financial position, non-current assets have increased by approximately €200 million. The last year on higher fixed assets driven by many large investment projects in our value chain. And furthermore, current assets also increased driven by higher biomass and higher working capital. Mowi has a strong financial position with a covenant equity ratio of 14.4% after implementing the resource rent tax in Norway. The strong operational earnings were partly offset by a working capital tie up. Accordingly, NIBD moved from €1.71 billion in Q3 to €1.79 billion and Q4. And the NIBD has increased approximately €31 million the last year. Working capital for 2023, €174 million as shown here on the table, somewhat higher than the guided €150 million from Q3, but this is a volatile number. The rest of the figures were mostly in line with the guiding from Q3. Please note that the CapEx of €389 million, includes the effect from the residual MAB auction, so €362 million excluding this effect. When it comes to the 2024 cash flow guidance, we expect a working capital tie up of approximately €140 million due to biomass growth and growth through the value chain. With regards to CapEx, several large projects are completed or nearing completion. These are projects, which were sanctioned before the resource rent tax was announced. CapEx is down to €300 million from the €360 million in 2023. As it looks now, CapEx spend is somewhat heavier in the first half versus the second half. We continue to invest in volume growth through freshwater investments in the range of €35 million in 2024, seawater investments in the range of €45 million. In processing, we are completing the [indiscernible] facility in Region Mid and the Blar Mhor expansion in Scotland, and we continue to invest in processing automation in our operations. Guidance for interest paid, approximately €100 million and €280 million for taxes, including resource rent tax for 2023, preliminary estimated to approximately €55 million. Then we take a look at the cost in farming, relatively stable before 2022, but the post-COVID inflation that has been unprecedented. And for our part, this has impacted feed raw material prices and consequently, feed costs. Feed prices, up 70% since Q1 2021, resulting in increased feed cost in our operation. Feed prices, they have been stable in 2023. Hopefully, we have the worst part of the inflation behind us. Commodity prices for non-marine ingredients are down in 2023. This has been offset by marine ingredients impacted by El Niño and the anchoveta wild-catch in Peru. But both fish meal and fish oil are somewhat down from the peak levels. A possible return to more seawater conditions that are more normal in 2024 could have a positive effect. But in this environment and for the last years, cost containment has been a highly prioritized area for Mowi with a number of initiatives to offset as much as we can of this underlying cost pressure. On a relative basis, Mowi continues to score well versus our peers. We are consistently number one, number two in the regions we operate. In Norway, overall, we have the number two position on EBIT margin. And bear in mind that we don’t have the best site structure in Norway, contrary to the company holding the number one position. We have managed to achieve our results through good execution and achieving operational improvements. In 2023, we realized €55 million in annualized cost savings, including 4% energy saving of 35 gigawatt hours, which was above the 3% target we set ourselves. It also includes a 50% cut in travel costs and then the other initiatives. Total cost savings since 2018 amount to €285 million, of which €186 million in farming. That’s a total of around 1,500 initiatives across different categories, including boats, treatments, health costs, nets, automation, productivity, procurement and other. And one important result of these cost-saving programs and all of this work with regards to cost is that we have been able to build a more cost-focused organization and our teams across the company have a more cost culture than some years ago. We think it’s very important to maintain this focus and to continue to monitor and follow up on various improvement initiatives. So, we have initiated a new €25 million cost-saving program for 2024. An important part of the cost-saving program is the productivity program. Salary personnel expenses represents the second largest cost item for Mowi amounting to €648 million in 2023. And this cost item is at least to a certain degree, something we can influence through our efforts to work smarter, become more productive. Since 2019, we have achieved a 15% productivity increase, which means that we have delivered more than the 10% target we announced back in 2020. We produced 9% more volumes with 6% less nominal FTEs. This has been achieved through natural turnover, through retirement, reduced overtime, reduced contracted labor, and various initiatives and hard work related to automation, working on productivity and also rightsizing. We have set ourselves a new target for 2024 of reducing FTEs by 324 through the productivity program. Then a few comments on sustainability. Mowi is for the fifth time in a row, according to the Coller FAIRR Index, the most sustainable animal protein producer. This comes in addition to several other great rankings, including CDP. And of course we have a very good starting point with a fantastic product, a very sustainable product. Salmon is the most efficient protein on feed conversion ratio, on carbon emissions, water consumption. But of course the product is a very good starting point. But all of these results and these rankings they don't come by themselves. So this is also through hard work on various improvements. And most of our financing is also green or sustainability-linked, linking financial performance to sustainability performance. The current mix is 94% including Arctic Fish and the target is to be at 100% in 2026. We have a solid financing in place with the bank syndicate as the backbone, so nothing materially new here since the last time. We then move on to market fundamentals, starting with supply. Global supply decreased by an estimated 1.7% in the quarter, 2.4% for the year. This was driven by a reduction in volumes in Europe. In Q4, volumes from Europe were less than guided. In Norway, industry production was hampered by cold seawater temperatures, biology impacted by string jellyfish for the industry, gill issues. In Scotland, the industry saw continued biological and water quality issues following El-Ninõ. As guided, volumes from Chile and Canada increased in the quarter and this offset some of the reduction from Europe. When it comes to consumption that was also then reduced following reduced availability of salmon. Consumption in the European market decreased by approximately 3% compared with Q4 2022. That was in line with the supply decrease from Europe as consumers have gradually adapted to new and higher prices. The retail channel in Europe experienced volume and value growth in the quarter and the positive retail trends that we also saw earlier this year continued in Q4 with the volume growth in the major retail markets in Germany, UK, Spain, Italy, France. While consumption in the U.S. was stable with the same quarter in 2022. In 2023, the U.S. market consumed close to 600,000 tons, equivalent to a market share of 24%. So this is a record high. Nevertheless, there is still great potential in the U.S. market and we of course intend to capitalize on our position in that market and our presence there. Salmon consumption per capita in the U.S. is still significantly lower than in Europe. In Asia, China stands out with as much as 32% volume increase year-on-year. Consumption in 2023 was 120,000 tons, or 5% of the market, so above the previous peak back in 2019. In other Asian markets, consumption in the fourth quarter was impacted by lack of available volumes. Yes, prices in Europe seasonally strong. However, prices in Americas weak with 7% reduction in Miami, 12% in Seattle and New York/Boston. But on a positive note, prices in Americas have recovered in 2024 from the two-way division we have seen since Q1 2023. And with regards to industry supply growth, we estimate low-supply growth in 2024 of at best 2%. This comes after volume contractions of 1% in 2022 and 2% now in 2023. So clearly it's difficult to achieve the industry growth and we do not expect any significant growth for the coming years either with regards to the industry. With regards to our own volumes, we maintain our guiding of 500,000 tonnes with further growth in Norway, recovery in Scotland, growth in Chile, and in Iceland we have a temporary reduction following the incidents we have seen in 2023. So with that, I conclude for now and leave it over to Ivan for some comments on the outlook.
Ivan Vindheim: Thank you, Kristian. Much appreciated. And it's time to conclude with some closing remarks before we wrap it all up with our Q&A session hosted by our eminent IRO, Kim Dosvig. As already said earlier this morning, the fourth quarter marked the end of another record-breaking year for Mowi in terms of [audio gap] I think it's fair to say that this year has started off on a good note as well with strong prices for the salmon of European origin so far. And it looks like the prices for the salmon of American origin are recovering. And it also looks like the supply side is supportive for us this year, as we have seen in recent years, at least from a price point of view with an expected supply growth of only 2% for this year. And if anything, we believe there is downside risk to this expectation or estimate as we have a biologically challenging 2023 behind us in the wake of El Nino, which has taken its toll on standing biomass. Otherwise, as Kristian just showed us we have maintained our own farming volume guidance for this year of record high 500,000 tonnes, which is a milestone for us as it would be the first time in Mowi's 60 year's history we crossed the magic 500,000 tonnes mark. And which also means that we have grown our farming volumes by as much as 125,000 tonnes over the last six years, which is equivalent to a CAGR of 4.9% and by that surpassing that to the wider industry by a good margin. And speaking of milestones, as we said earlier this morning at our Capital Markets Day in March 2021, we launched our venture into postsmolt in Mowi from which we are only now at last beginning to see the results because by close to play this year, almost 40 million smolt or a quarter of the smolt produced in Mowi will be postsmolt, which I think makes us the largest postsmolt producer in the world from a range of negligible one to 30. So this marks a new area for us and then hopefully provides the basis for continued organic growth for Mowi Farming in the coming years in addition to improved biological and financial metrics. So ladies and gentlemen, this will be exciting to follow. So with these closing remarks, Kim, I think we are ready for the Q&A session. So if Kristian can please join me on the stage.
A - Kim Dosvig: Okay. So we have received some questions from the web. And the first one is on postsmolt volumes. If you can give any comments as to the volume effects of the postsmolt investments in Norway and Scotland and what the volume potential is longer term?
Ivan Vindheim: That's a good question. It's always very difficult to say something sure about the future. But if things go well with the initiatives we are taking now, it's not only postsmolt, I think 540-ish in 2026 should be reachable target. And then we will, I think personally exceeds the growth of the rest of the industry by a good margin again. So that's the target based upon the initiatives we have taken so far. But, yes, 2026 is still two years ahead of us. So hopefully, we will also manage to do more than that, but let's see.
Kim Dosvig: Okay. And then a follow-up question from Alexander Jones, Bank of America. On postsmolt, if you can give any comments on the size of the postsmolts between the various countries.
Ivan Vindheim: We don't like to be too specific. We have competitors out there. But I would just say that when we talk about postsmolt in Mowi, that's postsmolt’s above 500 gram. So it's not the regular definition by control of 250 gram, that's what we call large smolt. So it's postsmolt or smolts above 500 gram and up to 1.2 kilogram. But the range where we stock what, et cetera, we keep close to our chest, something we also have – something we have to keep to ourselves.
Kim Dosvig: And then he also had a question on Chile. If you can give any comments as to the development so far this year in relation to the ongoing algae situation down there.
Ivan Vindheim: Well, as we said on the presentation so far, we are good. So knock on wood, but that doesn't mean we are out of the woods, because the algae season is not over. So – but I think we have managed reasonably well so far. But at the same time, we are extremely humble.
Wilhelm Røe: Wilhelm Røe, Danske Bank. Just a quick question on farming in Norway. For the industry in whole, the first couple of weeks in 2024, we've seen a considerable reduction in superior share. And I wanted to ask how you see the biological status in Norway, in particular when it comes to superior share.
Ivan Vindheim: So as you correctly say, we have – the industry has a winter source now, and it has been colder than last year. So the amount of issues, to put it like that, are higher. There's no doubt about that. But to be a little bit positive, we are testing out the new vaccine and so far, the results are good. And there are also several vaccines under development. So personally, I think this is something we have behind us in five years' time when we talk again. But right now, it's rather challenging. We shall not hide that.
Wilhelm Røe: Thanks. 
Unidentified Analyst: My name is [indiscernible]. Congratulations on yet another sensational results – set of results almost too good to be true. But in the latest Patagonia documentary film from Iceland, movie does not come across very well. All of 70% of Iceland's population is now against salmon farming in open pens. Do you see there is any danger that you will have to leave Iceland?
Ivan Vindheim: So in the end of day, we need a social license to operate and in practice, also our license to operate. In our view, what we do is very sustainable. We think what we do is making the world better. We are part of the green shift. So in the end of the day, I believe reason will prevail everywhere, also in Iceland. So personally, I am not afraid of that.
Kim Dosvig: Okay. And then we have one last question from the web, and then we need to conclude, and that's on the Norwegian volume development from – this is a question from Nils Thommesen, Fearnley. If there's low seawater temperatures in November, December and the culling of smolts in POA, it has impacted – or to what extent that has impacted the volume guidance for this year?
Ivan Vindheim: Yes. Well, it doesn't help. So – but we are used to losing fish. This was a stamping out because of pancreas disease, but always reasons for why we lose fish. So far, it hasn't impacted our best estimate, so to speak, because we always take into account accidents. But of course, it cannot go on like that. It was a big hit for us. Maybe so not to hide that fact. And €13 million, that's a lot of money, too. So for us, even for Mowi, that's a big hit. So let's hope it's over for now.
Kim Dosvig: Okay. Thank you.
Ivan Vindheim: Okay. Then it only remains for me to thank you for the attention. I hope to see you back already in May at our first quarter release. Meanwhile, take care, and have a great day ahead. Thank you.